Operator: Good day, everyone. Welcome to the Hubbell 2009 second quarter earnings conference call. Today’s call is being recorded. Now, for opening remarks and introductions, I would like to turn the call over to Mr. Bill Sperry. Please go ahead.
Bill Sperry: Good morning, everyone. Thanks for joining, Hubbell second quarter 2009 earnings call, I’m joined by Tim Powers, our Chairman, President and Chief Executive Officer, Dave Nord, our Chief Financial Officer; and Jim Farrell, our Director of Investor Relations. Hubbell announced its second quarter earnings this morning, and hopefully you have found press release off of the wires or on our website. You should also find their presentation materials that Tim and Dave will be referring to on our call today. Let me refer everyone listening to the call to the paragraph in our press release and in the materials regarding forward-looking statements. The press release and materials may contain expectations based on assumptions and Hubbell’s performance in the future, particularly regarding our earnings. We also may make some comments here today on this call or answer questions, which may include forward-looking statements. All of these involve inherent assumptions with known and unknown risks, and other factors that can cause our actual or future results to differ, perhaps materially from what we may discuss or project today. So, please note that paragraph in our release and I would like to consider it incorporated by reference into the call this morning. In addition, we may make reference to non-GAAP financial measures. Those measures are reconciled to comparable GAAP measures in the Appendix to the presentation materials. With that, I will turn it over to Tim.
Tim Powers: Thank you, Bill. Welcome everyone and thank you for joining us this morning, I will begin today’s call with a summary of the results we announced this morning, including some comments on our agreement to acquire Burndy, which was also announced this morning. Then I will turn it over to Dave who will go through a more detailed analysis of our financial performance. Finally, I will provide my perspective on the outlook for the remainder of 2009, and some closing remarks before opening up the call to take questions from you. Dave and I will both be referring this morning to the presentation materials you have hopefully found on our website. Turning to page three in the second quarter. Our sales were 584 million, a decline of 15% from the first quarter of 2008. When adjusted for the effects of acquisitions foreign exchange and price base volume was down approximately 18%, inline with the outlook we provided on our last call. Due to the significant volume decline, our operating margins declined 240 basis points compared to last year’s second quarter and earnings per diluted share was $0.70, a drop of 36%. However, our operating margins improved 160 basis points when compared to the first quarter of 2009 as our focus on productivity, price realization and the benefit of lower commodity cost all contributed to the sequential margin expansion. The current quarter results include $0.4 per diluted share for workforce reduction cost. Now turning to our end markets. Construction activity for both residential and non-residential markets remain weak. The industrial market is lower as evidence by capacity utilization rates. Utility spending is down on the distribution side, due to sustained weakness in the housing market as well as, some capital spending delays. On a positive note, two areas of continued growth were high voltage test equipment and building automation products. Our reaction to these challenging market conditions has been decisive. Our workforce has been reduced 17% inline with the sales volume declines, while inventory levels have been reduced by over $55 million since year end. We’ve also consolidated facilities and we’ll continue to do so as is warranted. These difficult, but necessary decisions, will help drive improve performance in the second half of the year and beyond. Now I would like to spend sometime discussing our Burndy announcement. As many of you know Burndy is a highly recognized brand within the channel with a long history of delivering high quality products with excellent service, their broad product line is complementary to Hubbell’s offering with little overlap as they go to market through the same distributions channel we do. In addition, Burndy fits well into our market with sales in the construction and industrial as well as utility markets. Burndy’s geographic mix is also similar to Hubbell with a majority of the sales in North America. Financially, they earn attractive margins and there is a potential for both sales and operating efficiencies overtime. I also look forward to welcoming the Burndy management team and the employees to the Hubbell family. They are a good cultural fit, with their focus on lean, safety, engineering, and customer service. Let me turn it over to Dave now, to have him discuss the financials in more detail. Dave.
Dave Nord: Thanks Tim. Good morning everyone. I’m going to start on page four of the presentation and go through the quarter and then year-to-date. As Tim mentioned, sales in the quarter were $584.2 million, which is down 15% from the second quarter of last year. Included in that is the impact of acquisitions from last year that contributed four points of growth year-over-year. Offsetting that was foreign currency translation, which was a three point detriment and the difference getting to the core volume decline of 18% is price. Price in the quarter was, in absolute terms, a positive number, although it’s rounds to something just short of 1%, so not a significant contributor. On the gross margin side, gross margin was 29.8%, which is 60 basis points lower than the second quarter of last year. Certainly we like gross margin to be increasing, but when you consider the level of volume decline and the impact from that as well as the impact from our factory fixed cost absorption, as a result of the inventory reductions, which in the quarter alone were just over $40 million. We’re quite pleased with that accomplishment, a lot of that’s as a result of the productivity gains that we’re seeing from investments that we’ve made over the last few years. Turning to page five, as we look at our SG&A and our operating profit, SG&A down from last year $7.3 million, although not enough to offset the impact of the volume decline. So, SG&A as a percentage of sales is up 170 basis points. Number of items, contributing to that, as I mentioned in the first quarter, we have pension cost increases for the year that impact that. The workforce reduction costs associated, that Tim alluded to earlier and of course the impact of lower volume and to some extent, some of the costs associated with the transaction that we announced this morning. As you know, in the new accounting rules on acquisitions, all of the deal costs have to be expensed as incurred. So we have those in the quarter. All that leading to operating profit of $66.6 million, down 30% as a percent of sales, 11.4%. Our biggest contributors being the lower volume and the inventory reductions, as well as the work force reduction costs. Note that are continued to manage our staffing levels very aggressively, down nearly 400 from the first quarter’s levels and a 11% from year end. Turning to page six, some of the other income statement items, net interest expense of $7.6 million, up 38%, principally due to the higher debt levels resulting from the debt offering to $300 million offering in May of last year. Our tax rate for the quarter was 31.5% similar to the first quarter, about a point higher than last year, contributing to that increase is lower benefit from foreign operations offset by the benefit of the R&D tax credit that we recall. We reorganized in the latter part of 2008 is reflected throughout 2009, that leading to net income of $39.4 million, down 36% and earnings per diluted share of $0.70 also down 36%. Let me turn, now to the segment results. On page seven, first on the Electrical segment. Sales of $397 million, down 22%, deterioration from the first quarter’s 14% decline, really due to broad end market weakness across all of our businesses, the most significant exception being continued trump performance in the high voltage test equipment. Foreign currency head wins of four points in the quarter and still some acquisition benefit from the lighting acquisition in the latter part of 2008 that contributed two points of growth. On the operating profit side, operating profit of $31.2 million, down 51% margin of 7.9%, it’s an improvement from the first quarter’s 6.9% and it’s reflective of a number of items impacting the quarter, obviously the margin compression that comes from the lower volume, but also the workforce reduction cost that we’ve incurred principally in the Electrical segment where the biggest volume decline has incurred, as well as the absorption impact from the inventory reductions where the vast majority of the inventory reductions have also occurred. Turning to page eight, the Power segment reported sales of a $187.2 million, up 2% from the second quarter of last year. Acquisitions added 12% to the year-over-year performance, but with weaker demand for distribution products, price was a contributor, but at less than two points in the segment. Operating profit, very good performance, $35.4 million of operating profit in the quarter, that’s up $4.3 million from the second quarter of last year; and more importantly, operating margins of 18.9%, up nearly two full points from last year. A Lot of that driven by the productivity gains, some element of commodity cost tail win, as I mentioned price less than two points contributing to the Power performance. We turn now to an even better highlight for the quarter is our cash flow on page nine. Free cash flow of a $101.4 million, up $21 million from last year’s second quarter, despite net income contributing $22 million less, the vast majority of that cash flow improvement coming from working capital, particularly inventory, but also good accounts receivable management, and also aided by very tight discipline around our investments for capital expenditures so, all in all, a very solid quarter, particularly in light of the market conditions. So that brings us to a year-to-date summary with sales impacted by our declining end markets. Margins and earnings impacted by unfavorable absorption. We’re taking aggressive actions on cost containment, cost reduction, workforce reduction and inventory levels to offset that as well as to generate cash flow good performance. So, you’ll see on page 11, the numbers associated with our first half results with sales, down 11%, operating profit down 27%, margin down 230 basis points, net income of $73.2 million down 33%; our increased tax rate earnings per share year-to-date of a $1.30, down 33%, and free cash flow of a $140 million, up 38% from what was very good performance in ‘08 as well. Just a couple of quick highlights on the segments year-to-date, so you see that down the Electrical segment, sales of $799.5 million, down 18%. So the trend there is 14% down in the first quarter 22%, in the second quarter on a core volume basis. With broad base weakness, foreign currency headwinds and continued strength in high voltage test equipment. An operating profit of $8.9 million, down 48%; margin of 7.4% year-to-date, but with an improving trend from first quarter to second quarter as we start to realize some of the benefits from our cost reduction actions and workforce management. Turning to page 13, on a year to date basis, the Power segment reporting sales of $370.3 million, up 9% with favorable acquisition impact and a limited amount of price, but weaker spending in the market for distribution products, and some benefit from storm activity earlier in the year. The operating profit performance, $65 million year-to-date, margin of 17.6%, good performance there with the productivity gains and commodity cost tailwind. So our year-to-date cash flow gets us to as I mentioned, $140 million of free cash flow that just short of 200% of net income. So very strong performance in a very difficult operating environment, largely attributable to strong emphasis on working capital particularly inventory, as well as the discipline around our capital expenditure. Page 15, you see the trend in working capital, where we have our receivables are down to $326.8 million at the end of June. Our days outstanding inline with year end, as well as at the same point last year, and our overdue balance continues to be perform well, continuing to operate at historically low levels. So, we’re very pleased with working capital and particularly, receivable inventory, receivable performance to-date. Inventory even more impressive, as you see the efforts going into reducing our inventory, down $40 million from the first quarter, $55 million from the end of the year, our days outstanding down one day from a year ago. That’s all leading to our very strong balance sheet on page 16, on our capital structure, you see our cash balance at the end of June $282.1 million, that’s up a $104 million from the end of the year, no change in our debt outstanding. So our debt-to-capital improved slightly as a result of earnings to 32%, net debt-to-capital improved to a greater extent the result of a cash generation to 11%. Our borrowing capacity continues to be maintained at $350 million under our revolver. So with that, let me turn it back over to Tim to talk about our end markets.
Tim Powers: Thanks Dave. Now, let’s turn to page 17 and our outlook for the remainder of 2009. Let me start by saying that, while we do not anticipate any improvement in our markets in the second half of the year. We have seen some signs of orders stabilizing albeit at lower levels. Our largest market exposure is the non-residential construction and the outlook for 2009 is a decline in the 20% range as a supply of financing and the demand for space remain impacted by the recession. Residential construction continues to operate at the press levels and well some are calling for the bottom later this year. We do not see any benefit for an additional two quarters as our products lag housing starts. Within the industrial market, we have significant exposure to energy and mining sectors. The demand for commodities is expected to remain weak, which dampens demand for new projects. Our utility end market is expected to remain down about 10% for the second half, as the demand for distribution products remains weak due to housing market. On the transmission side, opportunities for modest growth are expected. However, many of these projects are being delayed due to timing. So the timing of activity remains uncertain. As we have previously mentioned, we do not see any rebound in our market served in 2009. However, we are cautiously optimistic about the current stabilization of orders. We will continue to take the necessary action to manage Hubbell, which I have highlighted on page 18. Similar to the first half, we remain focused on managing our cost price equations continuing to reduce inventory levels and generate positive cash flow. Looking forward, our margins will benefit from the actions we have taken so far, including the facility consolidation, low cost country sourcing, centralizing shared services and reducing staffing. Well, the near term outlook for our markets is expected to remain a challenge; several areas should provide growth opportunities in the future. We have been tracking the stimulus package closely and expect to see orders starting sometime in 2010. Energy efficient buildings is an exciting driver of the future of Hubbell sales and the retrofit relight channel is an attractive opportunity. The need for more reliable and more efficient power should provide a positive growth driver for our power segment. As the market provides head wins we will manage the company accordingly. We are focused on our customer and serving them with a broad array of high quality reliable brands. We are positioning ourselves for growth in several key areas. We are improving our cost structure, our liquidity and our balance sheet remains strong. In short, Hubbell is well positioned to become a stronger and more profitable as markets improve. Thank you for your attention and now we would be happy to take some of your questions.
Operator: (Operator instructions) Your first question comes from Bob Cornell – Barclays Capital.
Bob Cornell - Barclays Capital: First of all congratulations to the Burndy deal, the ghost of [Burn Dimmner] is looking down from the sky and it’s a good deal too.
Dave Nord: You are one of the few people who might know that name.
Bob Cornell - Barclays Capital: That’s right, but more relevant non-arrays, okay, what’s the beginning core activity, what sort of insights do you have in anyway looking out as much as possible there?
Tim Powers: Really not much, to add to our comments I would say a lot of quote and re-quote of the same projects, which still is an indication that the speed at which new starts of any kind are moving forward is slowed by economic conditions and financing conditions. So, the activity level is quite high, but whether it’s turning into orders is the challenge for us right now, but I don’t really have any great insight into the future conditions, it’s more what we see today as it impacts jobs that might be placed one and two quarters out..
Bob Cornell - Barclays Capital: How much were the margin of the current quarter compressed by unabsorbed factory of variances left over from first quarter type of thing and even the second quarter and I guess more relevantly when do you see the destocking end and margins reflect the current price cost conditions?
Dave Nord: Bob I think it’s difficult to quantify and attribute a specific margin decline to the absorption but, clearly when you have the level of volume decline to that we are seeing at, in businesses that have pretty nice, gross margins that there is a drag and then I would put it at, at least a couple of points just coming out of the absorption and whether that’s the inventory or the underlying demand. I think, we expect to see continued inventory, at least from our own perspective, continued inventory destocking so there is going to be a continuation of that although…
Bob Cornell - Barclays Capital: Until when Dave?
Dave Nord: Certainly, through the rest of the year, although it will start to diminish as the second half moves forward and so, I think the relative impact will diminish and therefore, we’ll start to see some overall improvement, but we still have, inventory to get out of our own systems.
Bob Cornell - Barclays Capital: Actually, I didn’t see any, in terms of the Burndy deal, I just saw the headline. Have you given any sort of indications of price and accretion delusion or anything like that?
Dave Nord: The price is stated at $360 million...
Bob Cornell - Barclays Capital: Right.
Dave Nord: Included in there are some tax assets, so attached in the 8-K is some more information. We didn’t really plan on getting into a whole lot of details about it. We indicated the margins were attractive in the press release, and certainly there are potential improvements to all of this when combined with Hubbell. So, you know the brand and you know that it’s a specification oriented product, and it will serve as well. We expect to close no sooner than October 1. So, we’re not prepared to go into a lot of detail about how we plan to finance it, but we did say that certainly, we’re going to use a lot of our cash that’s available to us, and then look to the capital markets and, how we might provide permanent capital structure to that as time goes on.
Bob Cornell - Barclays Capital: Just a final comment on Lighting as a part of the whole business, I mean, how did the Lightening business do, and in the context of the transformation and plant moves and all the things going on and may be some price commentary there too.
Dave Nord: It’s gone through as much restructuring in the first two quarters as our wiring device business and some of our other commercial businesses like Raco and so on. So, they’ve been hit fairly hard on the C&I side and also on the residential side, but I would say that I’m expecting the margins in Lighting to improve in the second half of the year from the actions have been taken, as well as the other business units that I have named. So, we’ve done a lot of good work, I think these are very tough times, and I think our management team has done a lot of heavy lifting to get the house in order for where we sit today. So, it’s going along about as well as you could expect, but we expect to see better margins in the second half.
Operator: Your next question comes from Steven Gambuzza - Longbow Capital.
Steven Gambuzza - Longbow Capital: The operating margin performance in the Power business, you mentioned that price was a two point driver. On the quarter is it right, on the top line?
Tim Powers: Right.
Steven Gambuzza - Longbow Capital: Should we basically assume that basically kind of fall straight to margins, if you were to kind of adjust the 18.9% for the price it was kind of 16.9% or was it kind of flat like last year. Is that a fair way to think about it?
Dave Nord: Certainly, you have to look at price in combination with the commodity costs. So, it’s not a straight drop through. You’re still trying to recover commodity cost but, there certainly is a positive impact somewhere between one and two points.
Steven Gambuzza - Longbow Capital: Okay, then I was wondering if on page 17 of your presentation, you offer basically a unchanged view of the end markets in 2009, and you mentioned that you are alternatively expressing some optimism around stabilization and orders. Can you just kind of give some directional sense as to where you think things are headed at these various end markets in 2010, if you expect any of these to be offered down or flat in 2010?
Tim Powers: We are aren’t going to go out, I mean the reason we’re not providing specific guidance is the magnitude of big changes out there that are beyond our own company to predict, but I would say that, our view of the markets has earlier in the year was a little more pessimistic than some of the forecasts and now, we think that the order rates are coming inline with our current view of the markets. So, what we’re cautiously optimistic about is the stabilization of orders from month-to-month getting to be flat, close to flat. What’s more challenging is, when you make the comparisons of the prior year, certainly you had the normal construction cycle going on in 2008 and there was more activity in each the second and sequentially, the third so the gap where we’re operating at now at the level of activity versus the prior year is widening, but the level of business today is somewhat stabilizing. So I almost hate to say that, I’m optimistic about it, but I just wanted to indicate that there is some stability right now. So our view of these markets is pretty much unchanged from the first quarter.
Steve Gambuzza - Longbow Capital: On the acquired business, you provided the purchase price deed in the kind of '08 metrics in terms of sales and then operating margins. It seems like given the end markets that this company faces. I’m not personally familiar with the products, but the way it was like going to be a peak year in terms of both sales and margins. So, one would expect a decline in sales and a decline in margins in 2009. You were depending upon where things break in 2010. Sales could be flat or down, margins could be flat or down also. We can kind of do the math and figure out what the acquired EBITDA is under different scenarios? I guess, when you think about the potential for synergies, they can cost out of the business. What do you feel like you are buying this business that of EBITDA evaluation is similar to your own or is it above that or below that, given your synergies?
Tim Powers: We’re not prepared to go into a lot of details about that conversation just yet. We think certainly the price was okay, given the property that was available. The inclusion of the tax assets that were there, this is a brand which is a market leading brand. You will pay a four multiple of earnings then for some other properties. This is a company that we have looked at for over 25 years. So, I wouldn’t say that we have paid a multiple that’s out of line with others that we have acquired in a bottom of a recession. The multiples are little bit higher, but we’ll have a lot more information for you, as we get to the transaction itself at the end of the third quarter.
Operator: Your next question comes from Christopher Glynn - Oppenheimer & Co.
Christopher Glynn - Oppenheimer & Co: I’d like go into the power systems operating margins a little bit deeper. Given that, it sounds like your outlook is for state or revenue trends sequentially. Then just looking at the operating margin there just versus the first quarter. Did [Inaudible 7 audio 2:58] drop off a whole lot? Did price increase sequentially? Did acquisition integrations just kind of get behind you, quite a pop sequentially and need to understand, how sustainable that is?
Tim Powers: Chris, I think one of the things to look at there is when we talk about price that you know there has always been a lag in the pricing, when trying to match the costs. So the second quarter I think represents the last of the benefit from any prior price increases. So that’s not anticipated to be beneficial going forward. So, you’ll see that starting to tighten as well. So getting closer to if not already a parody on a price commodity cost curve at today’s our cost levels. So, I think, there’s probably more pressure going forward, when you’re looking against Q2 margins in power, at least on that dimension. On the flip side, you’ve got acquisitions that well contributed incremental volume were not accretive to margins in the quarter, as we expected. So, but we expect that those will continue to improve and so that will be an offset going forward and we’ll add some incremental benefit. So, does that help?
Christopher Glynn - Oppenheimer & Co: Yes it does. I guess, I’ll just try to push it a little bit further. Any specifics I can have power systems margins guides?
Tim Powers: No.
Christopher Glynn - Oppenheimer & Co: Okay and Tim, you referred to improve performance in the second half. Are you anticipating second half earnings over half the full year?
Tim Powers: We’re not getting into the specific guidance. I just said they were looking for some payback and benefits particularly in the Electrical segment, where we have done the most work in terms of reducing our employment levels and reducing inventories; and I agree with what Dave said earlier that, we still have work to do and there is more inventory to being to be taken out because of the dramatic decline in volumes. So, there’s work to be done certainly in the second half, but there should be some payback and there will be more restructurings, but probably not as much as in the second half as there has been in the first half.
Christopher Glynn - Oppenheimer & Co: Okay, and then lastly. On Burndy and their kind of general experience with the cycle looks like pretty similar end markets, what are they experiencing sort of a similar top line dynamic to Hubbell?
Tim Powers: I would say that, given where they are, they would be participating in the markets that are indicated probably with the same rate of changes the market in general.
Operator: (Operator Instructions) Your next question comes from Noel Bill - Unidentified Company.
Noel Bill - Unidentified Company: I just had actually a couple of quick questions. First is, last quarter you talked a bit about inventory destocking at distributors. I was just curious to know, if there was any continuation of that in the quarter or if that’s partially completed?
Tim Powers: I said, I think, last quarter that I expected it to continue. It is continuing at a lower rate, but certainly there are so many distributors, but not all of them react at the same rate, so some of them have completed their reduction of inventory, others are still under way. So I would expect that to continue at a decreasing rate at least through this next quarter. So we can still see in a few of our brands higher returns of product than we would have seen a year ago at this time and that’s an indication along with lower order rates that they are trying to rebalance inventories and that’s still an ongoing story. Not at nowhere near where it was in Q1.
Noel Bill - Unidentified Company: Okay, great. That’s helpful. My second question is, just a housekeeping question. The four sense of workforce reduction cost. Where does those kind of, first could you give us kind, what are their shake out on the income statement and then if there were any operating income could you give kind of a number?
Dave Nord: Well, they’re all an operating income. They’re about equally split between operations and G&A. It’s about $4 million or the $0.4 and principally in the electrical side.
Operator: Your next question comes from Fritz Vanguard – Unidentified Company.
Fritz Vanguard – Unidentified Company: I guess, I wanted to follow up on the pricing trend. How is aside from the lag effects that something you put in your price list working in. How would you say that the pricing environment in general evolved through the quarter?
Bill Sperry: I would say that, prices have declined where products are of a large metallic nature, metals content inline with the movement of steel, copper and aluminum and specific, specified brands are generally holding price level and margins that they’ve had, but there are really no new price increases. So what you’re really seeing are the benefits carrying over from previous one. So, we’re just coming to the point as Dave indicated, where there really is very little positive price left in the second half of the year.
Fritz Vanguard: You said in your earlier comment addressing pricing, you said something about just looking at the second half that, prices would follow the commodity cost trend or close that gap or something like that. Does that, I’m not exactly sure what’s your commodity cost trends have done? Does that mean that your prices are now, they are at that parity now or would you say that there is some air underneath prices above cost that might come out?
Dave Nord: No, I’m not looking for any dramatic margin compression between cost price, I’m not anticipating that, I’m just indicating that in a natural way in the market that if this price of steel goes down then those products that are made almost exclusively from steel would follow. That doesn’t necessarily mean that margins will get compressed in any significant way.
Operator: Your next question comes from Jeff Sprague – Citigroup.
Brian Cunningsburgh – Citigroup : Yeah, hi this is Brian Cunningsburgh calling in for Jeff. Just a couple of quick questions, how are you doing? You answered most of my questions, I guess, first I may have missed this but did you provide the price contribution in the electrical segment?
Dave Nord: Yes, it was less than a point.
Brian Cunningsburgh - Citigroup: Secondly it seems your transmission performance is actually holding up relatively well, some other supplies are indicating a lot of weakness given the deferral projects and credit disruptions, but maybe can you give you a little bit color as to why your business is holding in and where you are playing and how do you expect that to progress through the rest of ’09?
Tim Powers: Really how well you are performing in transmission is how well you are aligned with those utilities that are proceeding to build some of the large transmission lines, and if you are aligned with them and an important supplier then the chances are that you are getting the benefit of the start of some of those big projects, that happens to be the case with us. That doesn’t mean that the market in general has grown like we hoped it would, it means, certainly I think the political situation and the situation around energy has created enough uncertainty about types of fuel and support for different types of renewable that whole movement, that political movement is adding to the economic uncertainty to slow the progress of the market, but there are some major projects moving forward and those companies that are playing in those projects will do quite well I believe.
Operator: (Operator instructions) And it appears there are no further questions at this time.
Bill Sperry: Well, thank you very much for participating in our call, we appreciate it, talk to you next quarter.
Operator: Ladies and Gentlemen that conclude today’s conference. Thank you for your participation.